Mirko Hurmerinta: Good morning, everyone, and welcome to Sampo Group's Conference Call on Full Year 2025 Results. My name is Mirko Hurmerinta, Investor Relations Manager at Sampo. I'm joined on the call by Group CEO, Morten Thorsrud; Group CFO, Knut-Arne Alsaker; and Lars Kufall Beck, Group CFO as of the beginning of April. The call will include a short presentation by Morten and Lars, followed by Q&A. A recording of the call will later be available at sampo.com. With that, I hand over to Morten. Please go ahead.
Morten Thorsrud: Thanks, Mirko, and warmly welcome from my side as well. Sampo delivered another strong year in 2025, marked by consistent execution, robust profitability and solid momentum across our Private and SME segments. We achieved a like-for-like growth of 8%, combined with disciplined underwriting, a benign claims environment and continued efficiency gains, supported even by Topdanmark synergies. This resulted in an underwriting profit of EUR 1.5 billion. Our Investment portfolio also performed strongly, driven by both NOBA's contribution and solid returns from the regular investment portfolio. Operating EPS reached EUR 0.50, and the Board has proposed a regular dividend of EUR 0.36 per share, a 6% increase year-on-year. Sampo remains committed to delivering substantial value to its shareholders, and today, we also announced an adjustment to our distribution policy, which Lars will elaborate on shortly. Our underwriting results grew by 13%, actually for the third consecutive year, representing then more than 40% cumulative growth over this period. The main driver of this performance has been organic growth with consistent strong momentum in our Private and SME segments. I will return to the Private business shortly. In SME, customer adoption of digital services is following the same pattern as we've seen in the retail market, exactly as anticipated and planned for. As a result, top line growth has accelerated. SME premiums grew by 7% in 2025 compared to 5% in 2024 and 4% in 2023. Last year, we added more than 3,200 new commercial customers, predominantly SMEs, while maintaining high and stable retention. Part of the underwriting improvement reflects favorable weather and large claims outcomes, but the underlying trend remains strong. We continue to offset claims inflation through disciplined pricing. 2025 was also the first year of delivering synergies from integrating Topdanmark into our pan-Nordic platform. We achieved run rate synergies of EUR 37 million, ahead of the original EUR 24 million target for the year, though largely due to timing effects. We remain firmly committed to our EUR 140 million target for 2028. However, now, of course, with increased confidence. Let's turn to our Retail business, beginning then with Private Nordic. Private Nordic has delivered strong and sustained growth, and the momentum throughout 2025 reinforces the competitive strength of our modern remote distribution model. Like-for-like growth reached approximately 9%, with solid performance across all major product lines. Personal Insurance continued to stand out, growing 11%, as we added 30,000 new insured individuals in 2025. The outlook in this area remains highly positive, supported by rising demand for services that complement public healthcare. In digital sales, we reached our operational target of EUR 175 million 1 year ahead of schedule, demonstrating the increasing significance of this channel. Our digital capabilities, combined with our scale and technical expertise, also reinforce our position in partnership channels. In 2025, we renewed all major partnerships across all markets, including in the Swedish mobility sector. This underscores our position as the preferred partner to the automotive industry and provides valuable insight into motor industry trends. It's particularly encouraging to see that we also secured 4 new mobility agreements in Denmark, reflecting how our strengthened position in the market is now transforming our ability to compete for and win new partnerships. Turning then to Private UK. In 2025, we delivered 13% like-for-like premium growth, supported by a 16% increase in policy count. However, motor pricing continued to soften throughout the year. While we have captured the growth opportunities available to us, we have also scaled back activity in line with market pricing trends. This was reflected in a slower policy growth trajectory in the second half of the year. We continue to view the U.K. market as rational, but achieving our target margins has naturally become more challenging in the current pricing environment. Despite this, we remain highly confident in our long-term prospects in the U.K. In recent years, we have consistently demonstrated our ability to balance growth and profitability, and we are continuing to invest in proprietary data, pricing sophistication and enhanced digital capabilities. Underwriting discipline remains paramount, for example. We will continue to target business in the U.K. that fits within our 88% to 90% combined ratio ambition. In the softer phase of the cycle, this means operating more towards the upper end of the range. With that, moving from the insurance operations to investments and the balance sheet, and I'll hand over to Lars to comment a little bit on that.
Lars Kufall Beck: Thank you so much, Morten. In 2025, Sampo delivered a strong investment income on the back of strong returns across both fixed income and equities. Our fixed income portfolio continued to provide a stable interest income, also slightly down year-on-year. The mark-to-market yield is still slightly below the running yield, which implies that a small further reduction is expected in 2026, assuming, of course, no material swings in the interest rate environment. However, the main driver for our strong investment income in 2025 and for the fourth quarter as well was our stake in NOBA. Following the successful IPO of NOBA, we saw a EUR 540 million gain, of which EUR 173 million came in Q4. Beyond NOBA, equities in our portfolio performed well in 2025, where we continue to benefit from being exposed to this asset class. If we look ahead into 2026 in terms of investment strategy, we are being quite cautious about deploying new money at this point in time, given the tight spreads, high equity valuations and the geopolitical uncertainty we see. Talking about capital generation and capital management, Sampo runs a highly cash-generative business and a very strong balance sheet. Our solvency stood at 174% at year-end, but it is cast on a very strong basis with the symmetric adjustment materially higher than a year ago and with benefits from further NOBA sell-downs and the Danish partial internal model change to come. In total, Sampo generated EUR 1.5 billion of deployable capital in 2025, bringing our cumulative capital generation in the strategic period to date to EUR 3.5 billion. This puts us well on track for the more than EUR 5.5 billion target we have set for the 2024 to 2026 period. In 2026, we see deployable capital generation being driven mainly by our operating profits. But on top of that, we do have effects from the partial internal model for Denmark and potential NOBA sell-down. The regulatory process around the Danish partial internal model has taken a little bit longer than originally anticipated. However, nothing has changed with the estimated EUR 60 million to EUR 90 million SCR benefit expected, in which we remain very confident. On NOBA, we are currently in a lock up, but we will, of course, look for opportunities to sell down our stake further, assuming we can do so at an attractive valuation. When it comes to buybacks, funded by disposals, in our last Capital Markets Day, we said that we would distribute up to EUR 500 million, which means that there is EUR 350 million to go after the latest buyback. Beyond that, we will take a closer look at the excess capital position when that times come. Remember, we want to maintain a very strong balance sheet with a solid liquidity buffer in our holdco. Shifting from capital generation to capital distribution. This morning, we announced an update to our distribution policy, enabling us to provide an attractive mix of dividends and share buybacks going forward. Firstly, it's important to note that this affects only the mix of capital returns, not the total amount of capital to be returned to shareholders. We stay committed to a very strong capital discipline, where we, in a normal year, expect to return around 90% of our operating result to shareholders through dividends and buybacks. Secondly, Sampo remains committed to distribute a reliable and progressive regular dividend. And in a normal year, the majority of our operating results will continue to be redistributed through dividends, but effectively, we are lowering the dividend payout ratio floor from 70% to 60%. We believe buybacks offer an efficient way to invest in our steadily growing business, and we know that a lot of our shareholders agree with this. At the same time, we continue to offer growing progressive dividends for more income-oriented investors. Looking ahead, we aim to grow the regular dividend broadly in line with the EUR 0.02 annual increase that you have seen since 2020. That's all from my side for now, and back to you, Morten.
Morten Thorsrud: Good. So looking ahead to 2026, we expect the strong trends across our business to continue. Organic growth will remain the primary driver of underwriting profit, and we maintain a positive outlook. We guide for insurance revenue in the range of EUR 9.5 billion to EUR 9.8 billion, corresponding to 5% to 8% growth. In areas where competition is tightening, such as the U.K. and large corporate segment, you can continue to expect disciplined execution from us. On margins, the planned 40 basis points improvement in the Nordic operating cost ratio is expected to be the main driver of profitability. Our outlook on underwriting result is set to EUR 1,485 million to EUR 1,600 million. As always, our outlook is set with an element of caution. The lower end of the range reflects uncertainty related to weather conditions, including a somewhat harsh winter to date and potentially spillover impact from the storm Johannes that occurred late in 2026. Overall, I'm very pleased with Sampo's performance in 2025 and the momentum that we carry into 2026. This gives me strong confidence in our ability to continue delivering excellent results and shareholder value.
Mirko Hurmerinta: Thank you, Morten and Lars. Operator, we are now ready for questions.
Operator: [Operator Instructions] The next question comes from David Barma from Bank of America.
David Barma: Firstly, on the U.K., please. Could you run us through the drivers of the deterioration in the margin in the quarter? And to what extent the weather impacted this, please? And then secondly, staying on the U.K., policy count growth seems to have accelerated in motor in Q4. Can you explain how you see the balance today between margin and volume? And maybe if you could give us some indication as to how pricing has developed since the end of the year when I think we were still seeing double-digit average pricing drop year-on-year? And then lastly, a more theoretical question. A big topic so far this year has been the increased threats of the faster growth in self-driving vehicles and trials appear to have been particularly focused on your market, so the U.K. and the Nordics until now. Would you be able to share your thoughts on this and how the Sampo Group might be preparing for a faster evolving auto insurance market landscape than maybe we realized?
Morten Thorsrud: Good. So 3 large questions in a way at the very start here. First, to the U.K. margins. Fourth quarter is, of course, a quarter where we move a little bit into winter-type effects also in the U.K. So it's natural to see a little bit increase in frequency in the fourth quarter. We are landing firmly within our range -- operating ratio range with 89.2% for the full year. But again, fourth quarter, naturally a little bit more motor claims due to weather. Then, there is also a small impact from us strengthening reserves a little bit on the home side. There's been a bit of subsidence claims in the U.K. in 2025, and we wanted to be sure that we had as conservative reserves on the home side, as we have on the rest of the business. So we also added a little bit there in the fourth quarter. When it comes to policy count and pricing development, policy growth came down clearly in the U.K. during the year. So fairly strong in Q1, coming down then a little bit in Q2. And Q3, Q4 being clearly softer in terms of policy growth, but we still continued to see a growth in also number of policies. Obviously, the reason for growth coming down is, again, that prices have come down over the last year, more so in the first half of 2025. And then second half of '25 has been more a sideways movement. And that is, broadly speaking, also the situation that we see now in the beginning of '26. Always important to, I think, underline that this is quite a rational behavior from the market. Pricing was clearly overshooting a bit towards the end of 2024. So it's quite a rational and natural move in the market. And when it comes to autonomous vehicles, one can spend hours debating this. Perhaps some few reflections. First of all, safer cars, safer roads is, of course, nothing new. Over the last 15 years or so, we've seen a 40% to 60% decrease in fatalities in the Nordic region, which means that we have -- which, of course, is a very good development for the society as such. And also, for us, where we've seen a sharp reduction in bodily injury claims. And at the same time, this has been more than offset by an increase in frequency, and in particular, severity on the small- and medium-sized claims. And we see this in particular with newer cars. Cars with a lot of technology are far more expensive to repair than cars without, of course, this technology. If you see -- look at the market, like Norway, for instance, where you have 30% of the fleet now being fully EVs, we see that the repair cost of those are significantly higher than the repair cost of the older cars. And perhaps one should underline is nothing -- it's not really driven by the fact that these are EVs, but it's driven more by the fact that these are modern cars with a lot of technology. With autonomous vehicles, one could expect that claims frequency, when it comes to collisions, of course, could come down. Then, one should bear in mind that collision is just one of the items that we cover. Looking again at Norwegian statistics, collision claims account for about 30% of claims cost, which means about 20% of claims -- of premiums. And there are a lot of other claims types. That one, of course, need to bear in mind, and that is not affected by reduced frequency on the collision side. Then, I think also, one need to just bear in mind that with the new cars with more technology, you need to repair them to a larger degree than before. So if you had a small damage on your bumper in an old car, you didn't really need to repair it or you could just do some paint work. In the new cars, and of course, in the future autonomous vehicles, you need to repair these damages, and you need to repair them throughout the lifetime of the car. So I think there are sort of many effects here one can debate. I think we look upon this as an exciting and good opportunity for us because I think this will somehow differentiate between the excellent players. Motor insurance is becoming a more complex type of business now with all of this technology and with large variations in repair costs on different models. So perhaps a long answer, but I wanted to sort of give you a little bit also on the context around this.
David Barma: Yes, that's very helpful.
Operator: The next question comes from Vash Gosalia from Goldman Sachs.
Vash Gosalia: I had 2 questions. One was just on the Nordic region and more specifically, in Norway. Would love to understand how much of a pricing benefit do you continue to see in Norway, one? But then in general, are you able to talk to us a little bit about how do you plan to grow in the broader Nordic region? And where is the growth in top line going to come from? That's the first one. The second one, just circling back to the U.K. a little bit, trying to understand your sort of targets versus your margin guidance. So obviously, you have the 20% to 25% CAGR underwriting result target that you have, but now with margins worsening, should we be a bit more sort of flexible on that? Or would you continue to be more flexible on that? Or how would you meet that target? It would just be great to understand that. And sorry, if I could just squeeze in a third one, just a little bit on your investment. In the past, I remember you had spoken about re-risking in Topdanmark. Is that still something you would look to do?
Morten Thorsrud: Yes, I'll start with the Nordic region and pricing. We continue to have a situation where price increases are clearly higher in Norway compared to the other countries. Coming down a little bit over the last couple of quarters, but still clearly being higher in Norway compared to the other countries. Then, also pricing overall in the Nordics is still on a somewhat elevated level. So we definitely see support on the topline from price actions still throughout the Nordics. When it comes to growth in the Nordics in the future, our expectation is that it's quite broad-based. We have an excellent competitive position, and what I would say, a superior operating model in the private segment, a highly digital, modern operating model that I expect that we should be able to capitalize on going forward as, again, the market is gradually becoming more and more digital. We have an excellent position in the mobility market, where we many times have talked about the Swedish market in particular that should represent a good growth opportunity for us when that market is turning and Swedes are starting to buy cars again. We have built up also a very competitive distribution service model in SME. So that is also a good opportunity for us. And then we continue to point out sort of the personal insurance market as a market with strong underlying growth, where we continue to see double-digit growth and maybe we continue to have good outlook for the future. So it's quite broad-based when it comes to the growth expectations in the Nordics. Then, on the U.K. margin, I'm not sure if I fully got your question. Yes, perhaps, Knut-Arne, if you...
Knut Alsaker: Sure, Morten. Morten alluded to the operating range that we want to have in the U.K., 88% to 90%, and indicated that where we are today with pricing, it's more likely that it's going to be in the upper end than the lower end of that range, which again then translate into the operating ambition we have for the U.K., which is a 20% to 25% average growth in the underwriting profit. And with that condition and the upper end of the combined ratio range for '26, we still confirm the 20% to 25% average underwriting profit growth, but it will be reasonable to assume that it would be more in the lower end than the upper end of that particular range.
Morten Thorsrud: Good. So hopefully that was clear. And then, you had a question on derisking in Topdanmark. We're not doing any derisking, not in the Topdanmark portfolio, nor sort of in any other parts of our business. We did quite a lot of derisking in industrial and partially also in commercial throughout, yes, second half of 2024 and well into and throughout 2025. But that process is now concluded. So no further plans of doing any derisking, not in the Topdanmark portfolio or for the previous Topdanmark portfolio nor elsewhere in the business.
Vash Gosalia: I'm sorry. So just on the Topdanmark bit, so my question was actually more related to the investment portfolio in Topdanmark. I remember, I think it was last quarter or the quarter prior, you were talking about actually increasing your allocation to corporate credit or higher-risk investments. So I'm just curious, do you still plan to do that with the Topdanmark investment portfolio? Or is that no longer the case given what you've already said about the spreads in the market and the geopolitical uncertainty, et cetera? Sorry, that was my question around Topdanmark.
Knut Alsaker: All right. It's Knut-Arne here again. I'll take that on investments. That is still the plan. We're slowly, but gradually changing the fixed income portfolio away from Danish covered bonds to high grade, not necessarily high-risk corporate euro as well fixed income instruments. That's a process that started, but not completed. And one of the reasons for that is that we don't want to rush into that transition by buying assets at prices that we think are too high. So it's still the plan, and it started. I wouldn't necessarily say that, that is re-risking at large our fixed income portfolio, and it's not a process which will significantly change in any way the capital we deploy to market risk.
Operator: The next question comes from Hans Rettedal Christiansen from Danske Bank.
Hans Rettedal Christiansen: So I had a few questions. Maybe first just starting on the premium growth expectations for 2026. And sort of elaborating a little bit on the overall guidance that you're giving, specifically interested to hear what sort of Swedish new car sales that you're embedding in the overall guidance for 2026? And secondly, also if you're still confident in the sort of over 10% growth overall for the Nordic region that you said in Q3?
Morten Thorsrud: Yes. Premium growth, as we indicated with the outlook, we expect insurance revenue to grow with 5% to 10%. So I think that gives an indication on our growth expectations overall. And I think, as we have alluded to, more favorable development in the Nordic region than in the U.K., at least now in the very beginning of 2026. When it comes to Swedish new car sales, we have not put any significant increase in our sort of base assumption, so, of course, again, if new car sales is picking up, that could be an upside for us, but we have expected a rather stable situation sort of when creating the plan. Yes.
Mirko Hurmerinta: Just a quick one. Hans, it's Mirko here. The 10% you are referring in Q3, that is the ambition for Personal Insurance, not Private Nordic.
Hans Rettedal Christiansen: Got it. And then just to follow up on it, can you maybe just elaborate a bit on the sort of what is your assumptions underlying the kind of 5% to 10% range given that it's quite wide?
Morten Thorsrud: Well, of course, again, a large proportion of this will continue to come from price increases. But we do expect to see also a certain growth in number of customers. We saw a growth in number of customers both in private and commercial throughout 2025. We continue to expect that. And then, again, as Mirko alluded to, of course, more growth in certain parts of the business, like personal risk products, where we see consistently growth above 10% now for quite a long period, and we expect that to also continue into 2026.
Knut Alsaker: And if I should just add to Morten's comment, Hans, I think you asked for the range in the insurance revenue outlook. It's, of course, the beginning of the year, where we think it's reasonable to have a slightly wider range in the outlook than what we usually end up with at the end of the year for natural reasons. And one of the drivers for that range and the lower end of that range is what Morten alluded to earlier also in his introduction in terms of staying disciplined, not least in the U.K. market. So pricing development in the U.K. market will also impact where we -- as one factor where we end up in that range towards the end of the year.
Hans Rettedal Christiansen: Got it. That's very helpful. And just 2 final ones, quick ones on the updates that you're planning for Q1, both on capital and synergies. So on the first one on the update on distribution policy, how do you plan on sort of the timing of share buybacks throughout the year in this sort of updated policy? And is it also so that excess capital is still going to be distributed in the form of share buybacks in this policy? And then, on the synergy update that you're planning in Q1, just looking at the Slide #12 in the presentation, the wording is sort of a phasing of synergies that you want to update on. So should we take this to mean that you're sort of -- you haven't seen any more synergies or potential for synergies, but more so that it's kind of 2028 synergies coming earlier than expected?
Morten Thorsrud: Yes. I'll hand the one on capital and buybacks to Lars, and then, I can comment on the synergies after that. So Lars please go ahead.
Lars Kufall Beck: Yes. Thanks a lot. On your question about timing and update of the policy, as we are saying, we will revert this year in connection with our Q1 results, i.e., in May. And we expect actually also going forward to do that at that point in time. We believe that is the right time in the year. It will allow us to do potential buybacks after the ex-dividend period. I think what we are confirming here is our strict -- as I said, initially, our strict capital discipline that we will return in a normal year 90% of the operating profit to our shareholders with a split that is potentially a little bit different from the past, lowering the floor from dividends from 70% to 60%, but confirming and reconfirming the majority come as dividend, and then, an option to do share buybacks on top of that. But as I said, important to stress our commitment to delivering a progressive dividend going forward as well.
Morten Thorsrud: Then, on the synergy update, as you all have seen, we are reporting EUR 37 million in run rate synergies realized already at the end of 2025, which is well ahead of the plan that was EUR 24 million at the end of 2025. So we are front-loading the synergy capture quite a bit, and we thought that it would make sense to update on sort of the timing of the synergies, again, in connection with the Q1 result. We still remain committed and believe in the EUR 140 million in total synergies. But again, obviously, we have been able to realize the synergies somewhat quicker than anticipated.
Operator: The next question comes from Ulrik Zurcher from Nordea.
Ulrik Zürcher: Just wondering one clarification I have. The base case, should that be an improvement in the underlying risk ratio in the Nordics in '26, just given all the pricing actions and still relatively hard market? And then question number two, I think you described the low-end risk of your underwriting result outlook quite well. But what would be some key factors needed to hit the higher end of that outlook?
Morten Thorsrud: Yes. When it comes to combined ratio improvement, the main driver on the combined ratio, I remember that you asked about the risk ratio, but the combined ratio is still the 40 basis points efficiency improvement in the Nordic cost ratio. And we indicated that is expected to be also the main driver of underlying profitability going forward, alluding then to perhaps a somewhat smaller risk ratio improvements. We produced a 30 basis points risk ratio improvement this year. But expect that to come somewhat down, and we expect, again, the combined ratio more to be supported by the cost ratio improvement with the 40 basis points. When it comes to the outlook, in a way, you could say on the insurance result, we have produced a 13% growth now 3 consecutive years. However, one should bear in mind that there was a benign large claims and weather situation in 2025. And if you shave off that, then the outlook is actually consistent with 5% to 13% increase in insurance service results. The upper part of that, of course, would assume that we have, again, a favorable -- somewhat favorable development in large claims and also in weather. And, of course, then the lower end would assume the opposite. This is after all insurance, and we are after all still exposed to large claims and weather.
Ulrik Zürcher: Yes. That makes sense. And just on the underlying risk ratio or underlying, as you said, because it's very hard to picture that we won't see an improvement in private lines, for example, given all the repricing that's been going on. Is that correct? Is this more of a commercial or industrial segment where it could be more difficult to improve the risk ratio?
Morten Thorsrud: I think could be the situation. I think, obviously, sort of U.K. now, I mean, if you start there, a little bit softer. We indicated that we still stick to our 88% to 90% operating ratio target, but perhaps in the soft market, you operate more towards the upper end of that. Then, yes, we've seen very good development in private, also SME, where we've seen good underlying improvement. And then also on the large corporate side, it's a little bit softer market. So I think it's reasonable to expect that more positive sort of view on private SME and a bit more cautious view on large corporate and the U.K.
Operator: The next question comes from Jaakko Tyrvainen from SEB.
Jaakko Tyrväinen: Jaakko from SEB. I would like to follow up on the discussion on SSD or autonomous driving possible market disruption going forward. What are you seeing as a kind of a key barrier entries for possible new competition in your home markets? And how you are seeing Sampo positioning in terms of your very good digital capabilities versus the so-called pure-play digital players that you see outside your home markets?
Morten Thorsrud: Yes. I think to put it very simply, the main barrier of entry when it comes to motor is that all of these cars need to be repaired. It's a very physical operation in reality. So if you want to insure cars in the Nordics or in the U.K., you need to be able to handle all of the damages, all of the repair throughout the entire region. You need to provide roadside assistance, you need to sort of provide services sort of changing in screens. You need to repair the collisions and so forth and so forth. So I think sometimes people forget about that, that although a large part of the insurance industry is digital, also a very large part of it is highly physical, and that, in particular, goes for motor. So I think regardless of how the insurances are distributed, you basically need a service on the ground that to me will very much look and smell like an insurance company to put it like that.
Jaakko Tyrväinen: Excellent. All of my other questions have been already asked.
Operator: The next question comes from Vinit Malhotra from Mediobanca.
Vinit Malhotra: My one main question would be on this new dividend policy or new payout policy. I mean, isn't it usually that the market looks as a dividend as a signal, which you're more committed and -- not you, but our company is more committed to and buybacks being more flexible? Could you just talk a little bit about why you felt the need to bring in a little bit more flexibility within the same, say, 90% payout approach? So that's my first question. Second question is just on the Nordics and the autonomous vehicle debate. I mean, is -- we've seen obviously 2 forces. One is the new car sales falling for many years, which have changed the -- have kind of increased the fleet age, but also lots of new adoption by customers. So do you see that there is a risk here that the adoption of new autonomous vehicles could be much faster even though the price point might be higher, of course? So just curious what you think about the adoption rate of customers to new autonomous vehicles?
Morten Thorsrud: Yes. I'll leave to Lars to debate a little bit about the dividend policy, and then, I can ponder a bit around the AVs again.
Lars Kufall Beck: Yes, absolutely. Thanks a lot. Thanks for the question. I think, again, reiterating that what we are changing here is merely a potential floor for the dividend payout ratio. We reconfirm and confirm that we want to and aim to deliver a progressive, stable, growing dividend over time that then represents at least this 60% of operating profits. Lowering the floor simply gives us the opportunity and the flexibility to ensure that we can deliver that. And that's basically why we're doing it to ensure that 70% doesn't become a constraint and that we continue to deliver an attractive capital redistribution to shareholders in the form of dividends -- ordinary dividends and buybacks.
Morten Thorsrud: Good. And when it comes to adoption of new car and new technology in the Nordic motor industry, I think it's a rather scattered picture in a way. When we talk about low new car sales, we are then pointing at Sweden. If you then look to a country like Norway, the new car sales has been very high for a number of years now with a very high adoption of new technology, and in particular, EVs. So if you look at 2025, more than 95% of all new passenger cars were fully EVs in Norway. And if you look at the stock, more than 30% of the stock of passenger cars in Norway are now EVs. So in that market, that leads us to be in a quick adoption of new technology. So it's quite a different situation from market to market. Obviously, the Norwegian situation has been fueled by incentives given by sort of -- through sort of lowering taxes on the EVs compared to other cars. So I think it's hard to say something about adoption rates of new cars, new technology. I think for us, again, it's more underlying that I think that we're well positioned to handle this. And again, that the trend that we see is making motor insurance actually a little bit more complicated, and again, favors the big players that have a lot of data, a lot of insight and that can act in a smart way in a landscape that is changing. So for us, we look upon this as a good opportunity to really utilize our skills in full.
Operator: The next question comes from Michele Ballatore from KBW.
Michele Ballatore: I mean, they are both on the new capital management policies -- policy. I'm sorry, but I'm quite confused. I mean, so you have a 90% payout as a target of your operating earnings. And you are referring to 70% on the dividend. I believe this is the cash portion of the dividend. And you said that you don't want this to become a constraint, but why should this be a constraint? I mean, can you maybe help me understanding the dynamics here? So this is the first. The second question is about the operating EPS growth target. I mean, obviously -- I mean, we're going to see the -- let's say, the share count dropping a little bit more than expected now. So how should we think about this 9%? I mean, is this 9% -- how much of share buyback are included in your mind on this target? Or should we assume there is probably upside to the EPS -- operating EPS from this?
Lars Kufall Beck: Yes. If I take the first one, thanks, I think the whole idea for us is to deliver a dividend per share that is secure and gradually growing while we leave a little bit more headroom for doing share buybacks to be funded by our operating earnings in the future and not just the one-offs like the asset sale that we have done over the recent year. We believe that makes sure that we have a mix of capital return that's attractive to our shareholder base. And if you assume that earnings developed nicely, you can expect our dividend to grow in a very similar way to what it has done over the recent years if we have -- where we have increased the dividend per share by EUR 0.02 per year for 5 consecutive years now. And should we have a bad year, we do aim to keep the EPS stable. So that, in other words, means that we aim to have a progressive dividend of at least 60% of operating earnings and then top that up with potential buybacks. And whether it's 70% this year, it's a payout ratio of 71%, 70% plus/minus, has not been an option with the historical policy that we have had, and that's why we're doing the change. But as I said, and we are pretty clear on our guidance that our plan is to grow dividend in a very similar way to what you have seen over the last few years.
Morten Thorsrud: Yes. And then, on the operating EPS growth, yes, our target for the period 2024 to 2026, so this strategic period, is above 9% for the period, annual growth. We, of course, do expect some buybacks in this year. But we also said that we will come back to more information about that after Q1. But of course, as you all understand, there is still a bit of capital to be distributed from the 2025 earnings. And then also sort of we need to look into other sources for capital redistribution and to be used that by buybacks. Again, we'll get back to that in Q1, sort of where we can give a more firm answer on it.
Operator: The next question comes from Vash Gosalia from Goldman Sachs.
Vash Gosalia: Just one quick question on something you mentioned. So you were saying you expect some drag from the large corporate or the industrial segment. Are you able to share with us what kind of price decreases you saw in that book at the 1/1 renewals? So just trying to get a sense of how much do you think -- how much we should think that will impact your risk ratio?
Morten Thorsrud: No, I think we definitely didn't use the word drag. I think we continue to expect excellent profitability also in the large corporate segment. However, I think the comment was more about underlying improvements. We delivered a strong combined ratio for the large corporate segment in 2025 and expect to be able to do so also in 2026. Of course, always bearing in mind that this part of the business is a little bit more exposed to large claims. And then, the comment was more about price increases, that price increases in the large corporate segment. That market is definitely a little bit softer. So it's not reasonable to believe strong underlying improvement, but that's not -- that's absolutely not the same as saying that it will be a drag. We continue to expect solid profitability on the large corporate side.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Mirko Hurmerinta: All right. Thank you very much. That concludes the call for today. Thank you for listening in.